Company Participant: Andrew Keith Skelton - CFO & Director Dwight Daniel Willard Gardiner - Group CEO & Executive Director
Dwight Daniel Willard Gardiner: Good morning, everyone, and thank you for joining the call. I will provide a short introduction and overview, and then I'll hand it over to Andy for the numbers and operations, and then I'll come back to talk more about our investment program and capital allocation, and then we'll take questions. You're all familiar with our purpose, which is to enable a zero carbon, lower-cost energy future. And I want to start with that, as I always do, as it guides everything about our company. And critically, our people are at the heart of Drax, and I want everyone here to feel a valued member on a winning team with a worthwhile mission. We delivered a strong performance in the first half of the year. We produced more power than last year, reflecting a continued high demand for dispatchable renewable power and compensating for lower renewables elsewhere on the system. We accounted for 5% of U.K. power as we have for many, many years now and 11% of U.K. renewables. And importantly, in certain periods of peak demand, we have been over 50% of U.K. renewable generation. I'm very pleased also to say that we delivered a record level of pellet production, 5% higher than last year, which also drove increased EBITDA in our pellet business. We're very pleased with the progression of our CfD agreement with the government, and I'll come back to that in a minute. And we're continuing to target EBITDA of GBP 600 million to GBP 700 million from FlexGen, Pellet Production and from the Drax Power Station post 2027. And we have strong confidence in the earnings and cash flow that we can generate from this high-quality portfolio, which is critical to the U.K. power system, both today but well into the future. And delivery of that cash flow and associated earnings are a top priority for my group. We're excited about the opportunities to continue to develop and grow that portfolio. It's well aligned to the energy transition and to providing security of supply. And we believe we can continue to deliver value through discipline in capital allocation and a commitment to attractive returns for our shareholders. I want to emphasize our continued fundamental commitment to our capital allocation policy. It starts with our balance sheet, which is strong at about 1.1x leverage. We will continue to invest to maintain our existing assets and also invest in growth where we see attractive returns. We continue to grow our dividend and are proposing an 11.5% increase in dividends per share for 2025. And our current GBP 300 million share buyback program is GBP 272 million completed. And I would say importantly, today, we're announcing an additional GBP 450 million, 3-year extension of the current buyback. And that extension is underpinned fundamentally by the working capital inflow associated with the end of the renewable obligation scheme. Turning to the low-carbon dispatchable CfD. Earlier this year, we agreed heads of terms with the U.K. government for a low-carbon dispatchable CfD covering all 4 units at the Drax Power Station through March of 2031. This was a strong endorsement of the contribution that the Draft Power Station and biomass make energy security and decarbonization as well as to the value for money proposition that we provide, saving bill payers billions of pounds over the terms of the agreement relative to the next best option. And we've been working with the government over the last 6 months, and we're making very good progress. So importantly, the legislation enabling this agreement is now in place. The CMA has reviewed the subsidy regime, and that is complete and I think in a good place. And we are making good progress on negotiating the final contract, which we expect to conclude later this year. And this is a very critical turning point for our business as we are now comfortably expecting it to run this business through the 2020s and into the 2030s and beyond. If you look at our portfolio of businesses, we have a high-quality portfolio of assets that support energy security in the U.K. Our FlexGen business is doing very well, delivering the flexible generation and system support services, so critical to the current power system. And as we recognize that opportunity, we continue to develop new abilities to deliver that through expanding our pump storage assets and building the open cycles, the latter of which we expect to begin commissioning from later this year. And again, we continue to look at opportunities to complement the portfolio with investment in adjacent technologies, including batteries and other forms of storage. In our Energy Solutions business, we've now successfully exited the SME space and are very excited about the I&C portfolio we have, our renewables business and our EV solutions. As I mentioned, our Pellet Production business did very well in the first half, and we have confidence in its future, but we also recognize that we have work to do to continue to unlock its full potential. At the Drax Power Station, which continues to play a key role at the heart of the U.K. power system, we have strong visibility over contracted power sales and cash flows through 2027. And those will be complemented or extended by the low carbon dispatchable CfD during -- which we believe will allow us to deliver between GBP 100 million and GBP 200 million of EBITDA per year. So, reflecting all those factors, we're confident in the earnings and cash flow we can deliver from that portfolio and are focused on delivering that GBP 600 million to GBP 700 million of EBITDA post 2027. Just to be very clear, that target is stated before accounting for options for growth, the fourth column on this page, where we will continue to apply our disciplined capital allocation policy to opportunities which have the potential to deliver significant value, and I'll talk more about those later. I wanted to give you a bit of an update on sustainability, which again is critical to everything that we do. In addition to updating our biomass sourcing policy, we've launched a new climate transition plan, as well as the new sustainability frameworks, which we discussed at the full year. And the transition plan provides more details on our decarbonization targets through 2040. I think we're making very good progress on delivering tangible results that improve our sustainability, and that's reflected in the ratings that I've included on the slide. There's always more to do, and we will continue to work on improving. We're not complacent, and we welcome the opportunity to engage with all of you, as well as all other forms of stakeholders across civil society to make sure we're moving in the right direction. So, I'm now going to hand it over to Andy, and this is his final set of results as our CFO. And I do want to thank him for his contribution over the last 7 years, which has been tremendous. I think you all would recognize that the difference between our business between now and where it was when he started in 2019 is quite pronounced, and he's made a huge contribution to that positive change. He's built a strong finance team, and I look forward to continuing to build on what he has achieved with Frank Lemmink, our new CFO, also a fabulous guy, who will start in September. So, Andy, for the last time, over to you.
Andrew Keith Skelton: And good morning, everybody, and thank you, Will, for your kind words. It truly has been both a privilege and a pleasure to be the CFO of Drax for almost 7 years, and I'm very grateful for the opportunity and thankful for the support, guidance and encouragement that you personally and the Board have given me. And as I hope to demonstrate over the next few minutes, I believe Drax is very well placed with high-quality assets, a robust balance sheet, good visibility over our future cash flows, but not least a great team to deliver on our strategy. One of the first pieces of advice I received at Drax from Mark, our Head of IR, was that when it comes to presenting results, it's good for CFOs to be boring. He said, leave the excitement to the CEO, know your numbers and stay scripted. So now before I make Mark too nervous, I will start with the financial summary on Slide 9. Continued strong operational and financial performance and our robust balance sheet are supportive of options for growth and returns to shareholders. Adjusted EBITDA of GBP 460 million reflects strong delivery across all segments of our business. The reduction compared to the prior period primarily reflects an expected decrease in the all-in achieved power price for biomass generation. Adjusted basic earnings per share, however, of 65.6p is in line with the prior period, and it benefits from a 5% reduction in the number of shares outstanding to 351 million as a result of the ongoing share buyback. We recently published a company collected consensus for the full year and reflecting strong first half performance and expectations for the second half, we're comfortable with consensus, subject as always to continued good operational performance. Our strong operational delivery is generating cash flows, which position us well to invest in our core business, take a disciplined approach to options for growth and support sustainable and growing returns to our shareholders in line with our capital allocation policy. During the period, cash generated from operations of GBP 378 million includes a working capital outflow of GBP 102 million. As in prior years, this reflects a buildup of ROC assets in the first half of the year, which will reverse in the second half as those ROCs from the last compliance period are settled. During the period, we further strengthened our balance sheet and extended the average maturity of our debt. Our net debt to last 12 months adjusted EBITDA ratio of 1.1x remains significantly below our long-term target of around 2x. At the 30th of June, available cash and committed facilities of GBP 726 million provided substantial headroom over our short-term liquidity needs. Consistent with our policy to pay a dividend, which is sustainable and expected to grow, the Board has resolved to pay an interim dividend of 100 -- 11.6p. That would have been exciting, 11.6p per share and expect this to be 40% of a full year dividend of 29p per share, an increase of 11.5%. As of July 29, we've completed GBP 272 million of the existing GBP 300 million share buyback program and are announcing this morning an extension to the program to repurchase an additional GBP 450 million of shares over a 3-year period to follow on from the current program. So moving on to Slide 10 to look at performance by business. Overall, earnings of GBP 460 million reflects a strong renewable power generation and system support performance across the portfolio and further improvement in the pellet business. In FlexGen and Energy Solutions, earnings of GBP 81 million compared with GBP 98 million in the prior period. Our Hydro business delivered GBP 64 million, inclusive of the impact of the planned outage at Cruachan and reduced volume in our run-of-river assets, reflecting low rainfall in the period. The 40-megawatt expansion at Cruachan is progressing and due to complete by 2027, with earnings underpinned by capacity market payments of around GBP 16 million per annum. And in the appendix on Page 34, we provide 5 reference points to illustrate the growing need for system support services and the growing opportunity for value from these assets. Reflecting further delays in national grid connection time lines, our first OCGT asset at Haven is expected to start commissioning towards the end of this year. Dates for progress in Millbrook have now moved to 2026. The OCGT earnings are also underpinned by long-term capacity market contracts close to GBP 19 million per annum. The balance of earnings comes from system support services and peak power generation, addressing the increasing need for flexible dispatchable power. In Energy Solutions, the adjusted EBITDA of GBP 18 million included GBP 25 million from our I&C business and a loss of GBP 7 million in the SME business. During the first half, we completed the sale of the remaining SME meter points, and we expect the wind down to be substantially complete by the end of the year. Our I&C business continues to perform well with a focus on value from high-quality and strategically aligned customers. In Pellet Production, performance continues to improve. Earnings of GBP 74 million grew 14% from the prior period with production volumes increasing to 2.1 million tonnes. And of this, 1.4 million tonnes were sold to Drax Power Station. The margin achieved on our own new supply better reflects the current market value of long-term large-scale supply. The margin achieved on our legacy third-party contracts is lower. Combined with the reduced cost of production, the achieved EBITDA margin of GBP 35 per tonne was up almost GBP 3 per tonne from the prior period. We believe that the current level of earnings in Pellet Production is well underpinned by the low carbon dispatchable CfD at Drax Power Station. In Biomass generation output increased to 7.1 terawatt hours. The reduction in earnings to GBP 332 million primarily reflects, as expected, a lower all-in achieved power price. This was partially offset by a reduction in amounts due for the energy generators levy or EGL, and further details are included in the appendix on Page 25. In options for growth, development expenditure of GBP 27 million included GBP 16 million related to Elimini, our carbon removals business. As we noted in our last trading update, we won't participate in the first phase of the cap and floor scheme for the 600-megawatt expansion of Cruachan, but we do retain the option for potential future development, subject to an appropriate balance of risk and return. We will continue to be disciplined with development expenditure. So, turning to Slide 11 and the balance sheet. We maintain a strong focus on cash flow discipline and maintenance of a robust balance sheet. In the second quarter, our corporate credit ratings were reaffirmed as BB+ by Fitch and S&P and as BBB low by DBRS, and there was a stable outlook in each case. Over the last 18 months, we've moved the balance of maturities significantly. During the period, we extended the maturity of our committed GBP 450 million revolving credit facility to 2028, with an option to extend further to '29. And no cash has been drawn on this facility since its inception. In addition, during July, we extended the maturity of our GBP 50 million and EUR 135 million term loan facilities to 2028. We expect to repay the outstanding Eurobond and CAD term loan balances during the second half with surplus cash flow. As already noted, the available cash and committed facilities at the end of June provided substantial headroom over our short-term liquidity needs. So, moving on to Slide 12 and strong visibility free cash flow. We continue to believe that there's growing value from dispatchable renewable generation assets, which can complement intermittent renewables and inflexible nuclear and enable the energy transition. Our portfolio of high-quality assets are well placed to deliver the flexible generation and system support services, which the power system needs. And we're increasingly confident in the visibility of the cash flows that they can produce. So, I'll step through the building blocks of these cash flows through 2031. As already noted, we're comfortable that current consensus expectations for the full year provide a good starting point. We have a strong forward power sales book. We're fully hedged on the ROC units in '25 and '26, and we're well hedged for the first quarter of '27, with almost GBP 2.1 billion of forward sales at an average price of GBP 94 a megawatt hour. Since our trading update in May, we've added 1.4 terawatt hours of hedges at GBP 102 a megawatt hour. And further details of the current forward power sales book are included in the appendix on Page 22. Beyond the first quarter of '27 through the first quarter of 2031, we're targeting an average of GBP 100 million to GBP 200 million of adjusted EBITDA through the low-carbon dispatchable CfD, with upside potential from merchant generation. This represents less than 30% of our GBP 600 million to GBP 700 million target, which also includes FlexGen and Energy Solutions and Pellet Production. And as Will has noted, the legislation is now in place. The CMA review is complete and contract negotiation is progressing. Our FlexGen earnings have a strong underpin from capacity market payments. And again, in the appendix on Page 33, there's detail of almost GBP 600 million of index-linked capacity market agreements for this portfolio through 2042. That total value grows to GBP 1.2 billion if you apply the latest capacity market price to future auctions. The addition of the 900 megawatts of new OCGTs and the 40-megawatt expansion at Cruachan also provide further opportunity to capture value from flexibility and system support services. In our Energy Solutions business, we've exited the SME business, and we're focused on I&C, renewables and EV solutions. This provides us with high credit quality customers and a longer duration of contracting. In our pellet business, performance continues to improve. And as I noted, we believe the current level of earnings is underpinned through the low-carbon dispatchable CfD. In addition, we believe there are opportunities for sales in existing and new markets such as sustainable aviation fuels. So together, post '27, we're targeting GBP 600 million to GBP 700 million of adjusted EBITDA from FlexGen and Energy Solutions, Pellet Production and biomass generation before any development expenditure. With the end of the renewable obligation scheme in '27, we expect around GBP 500 million from the sale of ROC assets generated in previous periods. We see this working capital inflow as supporting the buyback extension of GBP 450 million, which we've announced today. If you take an estimated maintenance investment of GBP 100 million to GBP 150 million across our portfolio and together with reasonable assumptions on interest and tax, it will point you towards a very attractive level of free cash flow before dividends through 2031. We're focused on delivering these cash flows, and we'll be disciplined in how we use them to maintain a strong balance sheet, support options for growth, pay a sustainable and growing dividend and deliver additional returns to shareholders. And with that, I'll hand back to Will.
Dwight Daniel Willard Gardiner: So, thank you for that, Andy. And I guess it's now my job to get you all excited. And let me start with why I'm excited because I am absolutely excited about the opportunity that we have at Drax. And I was going to highlight 4 different things. So, first is really what we've talked about so far, which is the operational excellence that we have within the business to deliver the cash flows that we have so far and that we expect to continue to do well into the future. And it's operational excellence. It's also built on a strong foundation of balance sheet, compliance and sustainability. The second thing is how well positioned the business is strategically to actually respond to the opportunities being created by the energy transition, and I'll talk more about that in a second. And the third thing is really the discipline with which we expect to go about doing that. And I'll talk a little bit about our capital allocation policy to demonstrate that. So as you know, we have a 4-stage policy. It's been in place since 2017, and we stick to it rigorously. We maintain a strong balance sheet, currently defined as our current credit rating and 2x net debt to EBITDA. We invest in the core business, both to make sure that we maintain our high-quality asset base, as well as invest in opportunities around our core to extend and expand in areas where we have competitive advantage. We pay a sustainable and growing dividend, which Andy has highlighted, which we've been doing since 2017. And lastly, to the extent there is residual capital beyond our investment requirements, we would look to return those to shareholders, right? And I would highlight that all of these objectives are complementary, i.e., we're doing all of them, frankly, at the same time. If we turn to the next page. So, I wanted to just remind you of the framework of how we look at the investment opportunities in front of us. First of all, the energy transition is creating a wealth of opportunities over different time scales for investments that have the opportunity or the potential to deliver attractive returns aligned with our capabilities and strategies. And this is no accident because while I've been at Drax, we've been positioning the company to frankly be -- to have opportunities to invest in the growing need for volatility, for flexibility and to complement intermittent renewables and in flexible nuclear. And with the retirement of dispatchable fossil fuel plants, the deployment of more renewables, as well as the expected future increase in demand for power, we're seeing this play out. But let me give you a couple of examples. So, over the last 6 years, we've seen a 50% increase in the terawatt hours of energy or power generated by wind. We've seen a 500% increase in periods of negative pricing, and we've seen a doubling of system costs. And we can see that in action because Cruachan is now operating about twice as often or twice as much as it did at the beginning of that period. So, we're already taking advantage of these opportunities by building the [ peaking ] plants, the open cycles, which will begin to commission later this year by investing in the 400 -- sorry, 40-megawatt expansion of Cruachan. So how can we capitalize further on this trend? So, the first thing I would say is, again, our current portfolio is increasingly valuable and will be as this volatility in the system continues to change, right? We like batteries as a potential attractive addition as we demonstrated by looking to buy the height portfolio. But again, as we demonstrated then, we will be disciplined in how we approach those investments. In pellets, we're not looking at least currently to expand our capacity there until we have clear visibility on additional demand. But we are working hard and looking at ways to make sure that new markets, which we think will happen like sustainable aviation fuels, we're doing our part to see those come to fruition. So, as you know, we have the MOU with Pathway Energy, which has the potential to lead to 1 million tonnes per annum of sales in the U.S. by the end of this decade. At the Drax Power Station, we see opportunities to create value from sort of small incremental opportunities, right? So, for example, we've established a small state, small JV to sell the ash that is built up at the power station. We have tens of millions of tons of that ash. And we believe that JV could deliver GBP 5 million of additional EBITDA per year over the next 20 years. That investment does not require any capital from us, and it sells into a market very much structurally aligned with the energy transition and is a great example of how we can create value from our existing assets. Longer term, we're very focused on creating a definitive future for Drax Power Station beyond the extended CfD. We're working on data centers, which we'll come back to. But clearly, with 4 gigawatts of grid connection, we think we have a lot of value, and we're looking to monetize that. We're looking at carbon removals. Elimini has recently signed a deal with HOFOR, a Danish utility, where effectively Elimini will participate in the development of a BECCS project in Denmark. We'll lend our expertise to that project. We'll also lead on the marketing of the associated CDRs, and we'll have the option to invest in that project to the extent it does get to FID. And to be clear, there's no requirement of capital from us, but it's an opportunity. Let's take a closer look at FlexGen. So, the first piece of it, long-duration storage. As I mentioned, Cruachan is running at twice as much as it did 6 years ago, which reflects greater demand associated with more intermittent renewables and more balancing actions from the system operator. As you know, we are expanding that by about 40 megawatts. It's an GBP 80 million program, underpinned by more than GBP 220 million of capacity market revenue, adding visibility to that business out through 2040 and beyond with returns expected in excess of 20%. And we continue to look at other ways to invest to maximize value from that side. As a reminder, we continue to have the option to actually expand it much more significantly by 600 megawatts, but we'll only do that to the extent we're comfortable with the risk return balance on that investment. The open cycles expected to come on later this year or to begin coming on later this year will provide power at times of peak demand. They are again underpinned by capacity market investments. And finally, in that space, we have demand side flexibility from our I&C business customers, which gives us another ability to create value for ourselves, for our customers and to support the system. Finally, in terms of -- in the battery space, we're looking carefully at that. There's a very large pipeline, as you all know, of batteries that are waiting to be built in the U.K. We're looking at where there might be opportunities there for us to invest, but again, on the right terms and things like access to the grid, clear grid connections, there are a bunch of risks that need to be managed there properly before we can get comfortable with those investments. Let me give you a short update on the data center possibility. So clearly, AI is changing the world in many ways, right? And in order for that to happen, there is a huge need for data center capacity, which has an attendance or complementary need for huge amounts of additional power. So again, we have the [ Drax ] Power Station, to the extent we can participate in that, it's a great possible opportunity. The way we think about it is before 2030, it's likely to be something like 100-megawatt development that could ultimately scale to greater than 1 gigawatt through the 30s through a long-term behind-the-meter power offtake agreement with the power station. And that also could be complemented by BECCS. It's very much aligned with the 2027 CfD agreement, so we need to make sure that that's consistent and we think we can do that. But even beyond the data center -- sorry, beyond the biomass units, the access to the grid we have there, we have 1.2 gigawatts of grid access from the coal units, again, that we're looking at ways that, that could be monetized. The one thing that's happened recently is we've partnered with the North Yorkshire County Council and other organizations in the region as part of an AI growth zone application, which, again, if successful, could help accelerate planning for all of those developments. There are other contenders for that, like Teesside, for example, but nothing has happened yet, and we believe we have a compelling case. We expect to hear more on that in the second half of the year. So maybe in honor of Andy's last meeting, we thought we would do a little bit of a recap of what's happened over the last few years. So again, I think we've done a pretty good job. So, the excellence of our operating folks and how well they've delivered has meant we've generated significant earnings and cash flow. And as the market -- as demand grows for that, we think that will continue to, in fact, become more important over the coming years. And the second thing we've done is we've allocated that capital, I think, effectively through our capital allocation policy. What have we done? We've delivered about GBP 5 billion of EBITDA since 2017 with an average cash conversion of about 98%. We've invested about GBP 3 billion in the business. We've grown our dividend every year since 2017 at a rate that's now greater than 11% per year. And with our focus on shareholder value, we've returned significant capital to shareholders through -- by buying back shares to the tune of about GBP 472 million. And that's about 83 million shares at GBP 5.68 per share. And as I've already described, we think there's more opportunity for us to do the same given the energy transition and where we positioned our business. I think it's important to note that we think the U.K. is an attractive market for investment in the energy transition, especially relative to some of our global peers. But again, being disciplined and focused on investing where we can add value and earn returns is central to our approach. As our capital allocation policy requires, we'll look at that all in the context of how does that compare to the value we see in our own shares, which again is why we're announcing today the additional GBP 450 million buyback program, which again is underpinned by the working capital inflow associated with the end of the RO scheme. Just to be clear, that doesn't mean we're going to wait until 2027 to begin buying back the shares. That program will begin as soon as the current one finishes. So, finally, in terms of the summary and the outlook. We're delivering attractive returns for shareholders as a result of strong operational and financial discipline and performance, substantial dividend growth, disciplined capital allocation and a major multiyear share buyback program. Important to us also is that we're delivering for all of our stakeholders, delivering energy security, decarbonization and operating in a sustainable and compliant way. The heads of terms for a CfD at the Drax Power Station is a very important inflection point, taking away all mention of a 2027 cliff around our business. We continue to have a post 2027 adjusted EBITDA target of GBP 600 million to GBP 700 million, and we have increasing confidence in our ability to deliver that. We expect to generate strong cash flow. We expect to invest that in attractive growth opportunities, and we will do that in the context of our capital allocation policy. So, thank you. And with that, we'll take any questions that you might have. Thank you.
Operator: The first question is from Pavan Mahbubani, JPMorgan.
Pavan Mahbubani: And before I ask, I'd also like to congratulate Andy on his work as CFO over the last 7 years. And thank you, Andy, for being patient with our questions on the exciting topics, including receivables, factoring, working capital ones and pellet margins. We really appreciate it. I have 2 questions for you, team. Even with today's buyback, you still have substantial headroom to your 2x net debt-to-EBITDA target with a lot of growth options. Can you give us a bit of color over which options you maybe see materializing over the nearer term, if we think on a 12 to 18-month view? And then my second but related question is how you're thinking about Drax Power Station with 2 parts. Firstly, how is the development of U.K. BECCS progressing? And what, if any, conversations are you having with the government there? And then maybe some color on where you see the post 2031 future of Drax Power Station, whether you would expect an extension of the bridge or otherwise, how you see that power -- the future of the power station post March 2031?
Dwight Daniel Willard Gardiner: Thanks, Pavan. I appreciate that. And I also appreciate your appreciation for Andy, which we all share. So, I think I can take those as sort of as maybe in a combination and sort of maybe a little bit of a preview of where we think we'll get to when we have our Capital Markets Day, which we expect to have in the autumn, right? So I think the way we're thinking about it is that the first most important thing we are doing as a company is delivering the cash flow, which we described between now and 2031, right, which I'm probably not supposed to say this, but if you do the math, it probably gives you about GBP 3 billion available for dividends, capital allocation and investment, right? So making sure we do that, I want to sort of emphasize it takes a lot of hard work and a lot of operational excellence from the guys, and we're very confident we can do it. But I don't want to overlook the fact that that's really important, right? That's the first thing we're going to do. And I also should say that there's work to be done to adjust the way we run the business in the context of the bridge because again, we're going to be running significantly fewer hours than we have currently, and we have plans for doing that, but we need to make sure we're ready for that. But if you then look at the sort of the 3 areas really that I think of that are interesting or important for us to focus on strategically, right? So the first one is where is the most proximate or immediate opportunity to allocate capital, right? And again, it's really -- the first one is really in the FlexGen space in the U.K. There's lots of opportunities in the battery space, finding ways to expand what we do in other types of storage is also interesting, growing and sort of investing in our – in our, in the DES, the Energy Solutions business, again, something we're looking at, the EV charging business. So, I think there's interesting opportunities to do that. And we're -- that's probably the first place that I would think to answer the first part of your question, the next 12 to 18 months is probably where you might see us doing some things, right? But I also want to emphasize that it's one of those things that it's interesting, it's attractive, but a lot of other people see it that way as well, right? So we got to make sure that we do things that we can deliver distinct additional value, and we are excited about doing that. The second area of really interesting opportunity is the Drax Power Station, as you say. And really, the question is how can we build and we will build a future for the Drax Power Station that goes well into the 30s and beyond, right? So, if you look at various scenarios that the system operator develops, et cetera, the Drax Power Station is still in those scenarios. It has some units with BECCS, some units without BECCS. And we absolutely will work to keep those options attractive and exciting and make sure that we work, I would say, in conjunction with the U.K. government, but also, I think, importantly, in conjunction with private sector counterparties who are looking to access high-quality CDRs because I think if you think about the hope for deal that we're looking at or the work we're doing with them. The Danish market has attracted, I think, quite an attractive model where the sort of the developers sort of put their projects together. They get private sector participants to effectively buy the carbon removals. And then the government's role is to then be the sort of the last piece of the puzzle and people bid for the subsidies from them and sort of the one who's got the most attractive project, either one that requires the least support wins. And I think that's an interesting model to think about in terms of how you combine sort of private public capital in delivering both renewable power, but also carbon removals, right? So again, working on the long-term future for the power station, whether that's through a data center, whether that's through other forms of generation using the 1.2 gigawatts of tech that's available, whether that's through extension of some sort of bridge like mechanism or through BECCS. So all of those things are important activities that we're undergoing. I would say less likely that we would be allocating significant capital in that space over the next 12 to 18 months, right? But we will do a lot of development work, a lot of intellectual work there. And the third area is really carbon removals and the future of biomass, the future of pellets. And I think of that as sort of one world where we have a very significant capability in accessing sustainable fiber and turning that into -- in the current state into pellets and turning that into power. We have excellent experience in that space, probably more than anyone. But our expectation is that the uses for those pellets and that fiber will be changing over time. Unabated power generation, yes, may continue. Carbon removals is probably more interesting, sustainable aviation fuel, another exciting opportunity in the future. And so again, we're doing lots of what I would call business development work, looking at other ways of using that fiber, looking at carbon removals through Elimini, looking at biochar, for example, looking at BECCS. So again, but probably more in this space, again, business development, not large-scale capital deployment. And I think the HOFOR, for example, is a good way to think of the way we are approaching that space, right? So lots of opportunities and lots of interesting things for us to do. And as I said, I think we're very well aligned with the way the energy transition is going. And hopefully, that gives you a sense of our priorities.
Operator: The next question from Dominic Nash, Barclays.
Dominic Charles Nash: And again, I'd like to reiterate wishing the best for Andy on his next adventure. Can I ask 3 questions, please? The first one is on the GBP 600 million to GBP 700 million EBITDA split post 2027, which is no change from previous numbers. But previously, you gave us some granularity. I think GBP 150 million was hydro, GBP 50 million retail, 50 OCTs, GBP 100 million to GBP 200 million for DPS and then you've got GBP 250 million, which I think is a swing factor for pellets. So, the question I've got here is, are you still confident that that's broadly going to be the mix? And/or do you think that pellets are probably going to be under pressure. And then that leads on to the second question, which is the pellets. Could you just remind us again that you're producing, I think, you're going to be producing 5 million tonnes of pellets, of which I think I believe 2 million tonnes goes to Drax Power Station. What does it look like for pellet demand coming from sort of like Asia and European and other markets? And as we go to 2027, what do you think the Pellet Production profile of Drax will do when we step down from your sort of 15 terawatt hours to 6 terawatt hours in Drax? And then the third one, you sort of pick my interest a little bit on what to do with the coal units and/or potentially other biomass units. You've crossed the Rubicon a little bit by -- I think historically, you always wanted to be a zero fossil fuel company. The OCGTs are clearly here to stay. Can you convert your coal units to gas -- and/or could they be run like inertia products? Or what sort of options could we actually see with those 2 units?
Dwight Daniel Willard Gardiner: Maybe I'll take those back to front. So, in terms of the sort of how we will best make use of the grid connections, which used to be effectively sort of putting -- bringing coal onto the system. I think I'm going to hold fire on answering that question, Dominic, because we're doing a lot of work on that area, and we probably can give you a better answer come later in the year when we have a Capital Markets Day. I would say, I mean, yes, I think it's more likely than not that we keep the open cycles. But if you actually -- I know you've read our climate transition plan in some detail. And in there, we have commitments that effectively -- if we do keep them, we need to make sure that it's aligned with that program, right? So that's work that we will be doing to make sure that we keep -- we maintain our commitments to sustainability, which are as strong as they ever have been. If I think about the pellet business, right, the first thing I would say is that we did about 4 million tonnes last year. We did about -- we are expecting to do a bit more than that this year, right? But one of the things we're doing now is that in the context of having a bridge, which frankly, is quite a bit less generation than we do now. And in the context of -- which basically means that just from ourselves, the demand goes from about 8 million tonnes to about 3 million tonnes. There's 5 million tonnes of pellets that will be coming into the market on a global basis. There are other generators around Europe that also will be coming off. So, I think our own view is that the 2020 call it, 2028 market will be probably long pellets, and we need to make sure we're ready for that, right? So, we're looking carefully at our own portfolio. I think getting to 5 million tonnes is now less likely unless we see additional demand coming on stream in that time period, right? So, we're looking at what we're investing in now. We're looking at sort of where we get those pellets. I think it creates both a risk and an opportunity for us, right? So the 1 million tonnes of third-party pellets we plan to buy, again, that's -- we have good options for that, and we think we feel pretty good about that. But in terms of producing more pellets relatively unlikely, but also in terms of actually being able to reprice some of our contracts, we're trying to do that now in a world where there's probably more clarity that the market is long pellets than there was before. So very comfortable with the GBP 600 million to GBP 700 million. So to sort of say directionally, I feel comfortable about how the hydro is doing. I think there's probably sort of good opportunities there. I think on the pellet side, we're going to have to work hard to hit that number. But as a portfolio, I think we're in good shape.
Dominic Charles Nash: And on the split for the EBITDA?
Dwight Daniel Willard Gardiner: I think, again, I think we'll stick to the GBP 600 million to GBP 700 million. And I think sort of directionally, I think we're comfortable with the broad picture. But as I sort of said, as I described, sort of risk on the one side on pellets probably and maybe more downside risk on the pellets, upside risk on the others. But overall, that's basically where we are.
Operator: The next question is from Alex Wheeler, RBC.
Alexander Wheeler: Two from me, please, both, I think, for Andy, fitting for the Swan. First one, how should we think about the timing of the GBP 450 million buyback? Is it fair to assume a linear profile here as you've been pretty quick on the current buyback? And does the GBP 500 million ROC cash inflow in '27 have a part to play here? And then my next question is just on the EBITDA and how we should think about that for H2 given the strong H1 and a run rate that probably puts you a bit ahead of the current consensus, which you've confirmed you're comfortable with. So any thoughts there appreciated.
Andrew Keith Skelton: So, on the buyback, I think you can assume a relatively even spread across the 3 years and a couple of reasons for that. One, as you know, we have our AGM approvals we need to renew each year that give us up to 10% of our share count. But two, also the liquidity on the stock as the number of shares continues to reduce. We do intend to run that from the end of the existing program, which should come to a completion during the second half of this year. And the way I think about the ROC unwind is that, that surplus working capital that's been on the balance sheet for a number of years and will come out in 2027. But as Will said, we're not waiting to start the buyback until that comes. So, we will start as soon as the existing one finishes. On the second half numbers, if you look in the appendix at the hedge book and the details of sort of average price achieved for this year, you'll see that when I explained the actual results were lower as we expected because the captured price is lower than it had been in the prior period. The second half of the year, our locked-in hedge book is at a lower rate compared to the first half. So that simply means that we'll -- you shouldn't take the first half volume and rates and double it. And that leaves us comfortable with where consensus is.
Operator:
Q - Ahmed Farman:
Ahmed Farman: Firstly, Andy, thank you and congratulations from my side as well. I just have sort of 2 quick questions. Firstly, on balance sheet capacity. So, a lot of -- you talked a lot about the work that you have done to build the visibility to 2027 and beyond. And there's also sort of the points about the value of the site with 4 gigawatts of sort of grid connections. I'm just wondering, does that -- have you had any conversations with rating agencies about whether the 2x net debt to EBITDA is still the appropriate target? Or actually could you support a higher leverage factor as a company given how visibility and sort of some of the sort of the outlook has emerged. So that's my first question. My second question is on for Will on the data center opportunity. I wanted to come back to the 100-megawatt potential behind-the-meter opportunity, which we have discussed before. I'm just wondering if there has been any progress on that, that you could share with us? And if not, maybe sort of talk a little bit about what are the constraints that need to be solved to sort of commercialize that opportunity?
Dwight Daniel Willard Gardiner: Yes. Why don't I take both of those. I think on the balance sheet question, it's a very fair question because as you described, the business is changing. I think what we need -- what we're going to do is, as part of this, again, sort of look at our strategy in the context of the bridge. Again, we'll come back to that probably again at the Capital Markets Day and confirm where we are. I think -- I guess I would say that I think that target has served us well. And sort of in absence of sort of a strong view that either, a, there's a sort of strategic reason to have a different target, i.e., that the sort of having either a different credit rating would be beneficial and/or a strong view that the sort of nature of the cash flows is fundamentally different. I think we would -- one of those 2 things we have to change in order for us to make a change on that. But we'll come back to you on that, I would say, in the fall. In terms of the data center, we continue to do a lot of work on that. I guess the thing for me, which is the different things that have to line up are what types of data centers are people building in the U.K. I mean my sense of it is that, most of the larger data centers, training the large language models probably are not going to be in the U.K. Most of those will be probably U.S., China, maybe some in the Middle East. We'll need edge data centers that sort of actually are the ones that sort of respond to queries and those will be more national. Generally useful for those to be near customers or that's historic trend. So, we need to get people comfortable with that. Clearly, biomass power, getting people comfortable with that. The cost base, the sort of -- yes, we think behind-the-meter power for biomass is attractive relative to wholesale prices, but you have other options for behind-the-meter power, so we need to make sure we get people comfortable with that. So, there's a bunch of things that have to go into it. And then I guess the final point is that in order to actually make it happen, it's a very significant capital commitment. So, making sure that you've got the right partners ready to commit capital is something that we're also looking at doing, right? So again, I would say a bunch of things need to line up. There's a lot of work still happening on that. And so again, as we learn more, we'll make sure that we share that with you.
Operator:
Q - Jenny Ping:
Jenny Ping: A couple of questions from me, please. Just following on Ahmed's question on data centers. I also wanted to just check in terms of some of the progress and challenges that you just outlined, I presume this is something that you're going to be working on over the next couple of years. Obviously, the bridge gives you the time to do that. But I just wondered, are you really going to have anything concrete to share with us by 4? Or is this really kind of like a 3-year view just to give us some sense of whether we should really be looking to sort of looking at the financials of some of these opportunities now. Secondly, I wanted to ask about the bridge itself. Obviously, FX was the only piece in the heads of terms that the government has left open for marking to market. If I look at what the FX was at the time of the heads of terms versus where it is now, it shaves off around GBP 5, GBP 4, GBP 5 per megawatt hour to the headline price. I wondered what you can comment around that and whether there's any other elements which could potentially offset that we should be taking into account? And then thirdly, just on Longview, some of the pellet growth. I just -- a technical point, but obviously, that's one that has been under construction, but now paused because of some of the permitting -- emission permitting delays. If that project doesn't get the permit to go ahead, is there any write-off that's coming from that investment?
Dwight Daniel Willard Gardiner: So, on the data centers, I think your question, Jenny is focused on whether we see any sort of near-term milestones or things that we would explicitly want to lay out as sort of points where we would come back to you explicitly. I think the answer to that is no. I think those are sort of complex negotiation discussions, multiple people involved. And so, I think the best thing -- I don't want to sort of put specific dates on that where we actually expect to come back to you. And so I think the best way to think about that is as and when things happen that we think are important to share with the market or rely, we'll bring those back, but not tied to any specific dates. In terms of FX on the bridge, the way that the heads of terms is structured is that those changes in FX rates before the actual signing of the final contract will effectively go into determining what the final strike price will be. So, we're still in that phase. And the third one on Longview, effectively where we are on that is that the sort of the permitting process continues. But as you would expect, we're sort of looking carefully at that project to determine whether we need those pellets. And when we have a decision on that, we will let you know whether that's going to continue or how we plan to handle that. So that one is yet to come.
Jenny Ping: Can you say at this stage how much you've invested on Longview?
Dwight Daniel Willard Gardiner: Yes, I think there's about GBP 150 million on the balance sheet for that yet.
Operator:
Q - Charles Swabey:
Charles Swabey: Yes, adding congratulations to Andy for all your achievements and wishing you all the best. Just a quick follow-up on the data centers. Just in terms of the commercial terms you're discussing at the moment, could you provide an update on the ballpark figure, the long-term PPA prices you're discussing with developers and the duration of the contracts under discussion?
Dwight Daniel Willard Gardiner: I don't want to be too direct, but unfortunately, the direct answer to your question is no. We can't really provide that. But I think maybe a bit more color. I mean, I guess the simple answer is that in order for us to maybe I guess the first way to think about this is that in order for us to enable or develop a data center, there's going to be quite a significant amount of investment required, both in the data center itself, but also in our own infrastructure to enable us to connect it. And in order for us to do that, we need to have a high level of confidence in the earnings that we would generate from that. And so, I think the sort of foundational part of your question is, will there be a long-term PPA with a reasonable price in it? And I think the answer that is we believe there would need to be in order for this to work. So, we're working on that as the best way to think about it, Charles, yes.
Operator:
Q - Harrison Williams:
Harrison Williams: First, I just wanted to ask on Cruachan. I know you walked away from the first round and we've seen some of your peers do similar on the terms. Can I ask about what the conversations have been with Ofgem since then? Are they receptive to your concerns with how the initial framework was designed? And I guess as a follow-up, yes, if that was to be developed, when could we expect to hear on that one? And then the second question I had was we saw recently that the U.K. ETS scheme was going to allow carbon removals. How significant could this be in terms of making BECCS a more feasible option? And maybe just to help us understand if we are seeing the linkage between the U.K. and European ETS schemes, is it feasible for the U.K. only to allow carbon removals or would we need to see similar movement in Europe as well?
Dwight Daniel Willard Gardiner: So, on the sort of expansion of Cruachan, I guess the way I would respond to that, I think there's a series of different things that are sort of part of our decision-making there. I mean one is the duration of the project. Another one is the cap and floor. Another one is the sort of the timing of how it sort of worked for us. So, for example, the second round might be more effective for us. But the third one for me is also the sort of fundamental fact that, that project sort of would change the duration of the power station or reduce the duration of the storage we could provide quite significantly. So, all of those come into it. And sort of again, we'll continue to look and see whether we can get comfortable with that. And I'm not -- I think the sort of the Ofgem piece is one part of it, and I'm sure they're looking at how to make that more attractive, but I don't think that's the only issue for us, right? In terms of the ETS, I think the answer to that is including carbon removals in European and/or U.K. ETS and/or our combined system is fundamental. It actually will make -- significantly change the ability of those projects to go forward. I mean it provides a much bigger pool of buyers for carbon removals and becomes a compliance issue as opposed to a voluntary one. So, I think that's a very, very significant development. Now how it actually plays out where the carbon price is, what the format of it is, what the structure of it is obviously very important. But again, we're very involved in those -- both of those processes, and I think they're both quite fundamental. So, but also not immediate, right? I mean they need to be determined. They need to work through. And anything that comes into play there is probably not until near the end of the decade.
Operator: At the moment, there are no phone questions.
Dwight Daniel Willard Gardiner: Okay. I'll take one more, and then I think we'll wrap up with this last question. So, I'll read it out from the webcast. First, it says I want to say a big thank you to Andy and wish him all the very best. Secondly, with zonal pricing rightly abandoned as a REMA option, reformed national pricing is now the preferred option. Could you share some high-level thoughts as to possible risk to TNUoS charges for your assets coming from Martin Young, right? So, again, I think it's nice that we have more clarity, nice that we have more certainty around that. And again, I, clearly, you're right, they are going to be reviewing TNUoS charges as part of this. And I think our own position is that we have a quite a good geographic spread of assets, some in Scotland, obviously, some in Yorkshire, some across the Midlands in terms of the open cycles. And so actually, I think we believe we have quite a good balance in terms of the risks, pending movements in grid access costs, right? We won't know definitively until it all happens. But currently, our expectation is it's a reasonably balanced position for us, right? I hope that helps, okay? And maybe I'll just wrap up by one more time. So, thanking Andy for all his good work. Really, it's going to be -- it will be a different set of results next time, different and there'll be some nostalgia. I'm sure it will be a good one as well. But thank you all for your questions, and I hope everybody has a good day.